Operator: Good afternoon, and welcome to the American Shared Hospital Services Third Quarter 2021 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Stephanie Prince of PCG Advisory. Please go ahead. 
Stephanie Prince: Thank you, Carrie, and thank you to everyone joining us today. Before turning the call over to management, I would like to make the following remarks concerning forward-looking statements. Please note that various remarks that may be made on this conference call about future expectations, plans and prospects for the company constitute forward-looking statements for the purposes of safe harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may vary materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the company's filings with the SEC.
 This includes the company's annual report on Form 10-K for the year ended December 31, 2020, the quarterly report on Form 10-Q for the quarters ended March 31 and June 30, 2021, and the definitive proxy statement for the Annual Meeting of Shareholders that was held on June 25, 2021. The company assumes no obligation to update the information contained in this conference call.
 I would now like to turn the call over to Ray Stachowiak, CEO of AMS. Ray? Ray? 
Raymond Stachowiak: Thank you, Stephanie. Good afternoon, everyone. Thanks for joining us today for our third quarter 2021 earnings conference call. I'll begin with some opening remarks, and then we'll mix it up a bit from our usual order and have Alexis Wallace, our Chief Accounting Officer, provide a financial review. After that, Craig Tagawa, our President, COO and CFO, will provide an operational review of results. Following the prepared remarks, myself, Craig, Alexis and Ernie Bates, our Senior Vice President, Sales and Business Development and International Operations, will open the call for your questions.
 In the third quarter, AMS continued to be impacted by COVID-19 as well as unplanned downtime of our proton beam system. Total revenue decreased 12% year-over-year. Costs continued to decline from the positive impact of our year-end balance sheet restructuring, and the debt refinancing that we completed in April. Operating income was $186,000, the third consecutive positive quarter. Craig and Alexis will go into the details in a few moments.
 With our financial house tightened up and expanded radiation therapy equipment offerings in place, we've turned to expanding our addressable market. During the quarter, we announced an agreement for business development services which will expand our sales and marketing efforts to all federal facilities in the United States. This includes all Veteran Affairs, VA hospitals and Department of Defense hospitals, which include many of our country's most esteemed facilities.
 We continue to have substantial resources to invest in future opportunities. We have over $7 million in cash and a $7 million line of credit. We're ready to put these resources to work, and I look forward to discussing our progress in the months to come.
 I'll now turn the call over to Alexis for the third quarter financial review. Alexis? 
Alexis Wallace: Thank you, Ray, and good afternoon, everyone. Before I begin my prepared remarks, I'd like to call your attention to our third quarter earnings press release that was issued earlier this morning. If you need a copy, it can be accessed on our website at ashs.com at Press Releases under the Investors tab.
 Now turning to our third quarter results. For the 3 months ended September 30, 2021, revenue decreased 12.2% to $4.099 million compared to revenue of $4.670 million for the third quarter of 2020. Third quarter revenue for the company's proton therapy system installed at Orlando Health in Florida decreased 23.4% to $1.293 million compared to revenue for the third quarter of 2020 of $1.687 million. Total proton therapy fractions in the third quarter were 973, a decrease of 40.4% compared to 1,632 proton therapy fractions in the third quarter of 2020.
 Revenue for the company's Gamma Knife operations decreased 5.9% to $2.806 million for the third quarter of 2021 compared to $2.983 million for the third quarter of 2020. Gamma Knife procedures decreased by 10.9% to 336 for the third quarter of 2021 from 377 in the same period of the prior year.
 Gross margin for the third quarter of 2021 increased 28.9% to $1.467 million or 35.8% of revenue compared to gross margin of $1.138 million or 24.4% of revenue for the third quarter of 2020.
 Selling and administrative costs decreased by 1.4% to $1.119 million for the 3-month period compared to $1.135 million for the same period in the prior year due to lower legal accounting and tax fees. Interest expense decreased 36.2% to $162,000 compared to $254,000 for the same period in the prior year.
 Operating income for the third quarter of 2021 was $186,000 compared to an operating loss of $251,000 in the third quarter of 2020, a positive swing of $437,000. Net income in the third quarter was $33,000 or $0.01 per diluted share compared to a net loss of $209,000 or $0.03 per diluted share for the third quarter of 2020.
 Fully diluted weighted average common shares outstanding were 6.123 million or 6.049 million for the third quarter of 2021 and 2020, respectively. Adjusted EBITDA, a non-GAAP financial measure, was $1.562 million for the third quarter of 2021 compared to $1.979 million for the third quarter of 2020.
 At September 30, 2021, cash, cash equivalents and restricted cash was $7.168 million compared to $4.325 million at December 31, 2020. Shareholders' equity at September 30, 2021, was $23.953 million or $4.08 per outstanding share. This compares to shareholders' equity at December 31, 2020, of $23.650 million or $4.08 per outstanding share.
 I'll now turn the call over to Craig for the third quarter operational review. Craig? 
Craig K. Tagawa: Thank you, Alexis, and good afternoon, everyone. As Alexis mentioned, total revenue in the third quarter was $4.1 million, a 12.2% decline from last year. The decline reflects the slow recovery from COVID exacerbated by the summer's Delta variant as well as unexpected downtime of our PBRT system. Third quarter revenue from the proton therapy system installed at Orlando Health in Florida was $1.3 million, a year-over-year decrease of 23.4%. The lower volumes were offset by higher average reimbursement per fraction.
 Total proton therapy fractions declined by a little over 40% to 973. This was primarily due to the continued impact of COVID-19 as treatment volumes continue to lag from pre-pandemic levels, and the downtime required to repair certain of the systems' components.
 Gamma Knife revenue decreased 5.9% to $2.8 million. The decline was due to a decrease in procedures offset by an increase in average reimbursement. The increase in average reimbursement resulted from the expiration of a contract in the fourth quarter that was reimbursed at a lower rate as well as an increase in the average rate at the company's retail sites.
 Gamma Knife procedures decreased by 10.9% to 336 for the third quarter, primarily due to the expiration of 1 contract in the fourth quarter of 2020 and another contract in the first quarter of 2021, both high-volume customers. On a same-store basis, Gamma Knife revenues -- Gamma Knife volumes for same centers in operation increased 11.6% from the Gamma Knife volumes for those same centers during the same period of the prior year.
 Gross margin increased 29% to $1.5 million compared to $1.1 million for the 2020 third quarter. The increase was primarily due to a 32.7% decrease in depreciation and amortization, result of the year-end balance sheet restructuring as well as the 1 contract expiration in second -- fourth quarter 2020 and 1 in first quarter 2021.
 Other direct operating costs decreased 26.4%, primarily due to the 1 contract expiration in the first quarter of 2021 and a decrease in operating costs for the company's existing retail sites. The gross margin percentage was 35.8% in the current quarter compared to 24.4% in the third quarter a year ago, and was essentially even with the second quarter 2021 level of 35.9%.
 Selling and administrative costs decreased by 1.4% to $1.1 million due to lower legal, accounting and tax fees. Interest expense decreased 36.2% to $162,000 compared to $254,000 for the same period in the prior year. This decrease reflects the benefit from the April refinancing of the majority of our existing debt and finance lease portfolio at a lower effective interest rate than the company's historic portfolio rate.
 Operating income for the quarter was $186,000 compared to an operating loss of $251,000 in the third quarter of 2020. This was a positive swing of $437,000 and reflects the lower direct operating costs and interest expense. As Ray mentioned, operating income was positive for the third consecutive quarter. With the restructuring, refinancing and other cost initiatives, we believe that this trend is sustainable.
 We recently received 2022 reimbursement rates from the Centers for Medicare and Medicaid. The delivery code reimbursement rate for a Medicare Gamma Knife treatment has been set at approximately $7,943, an increase of 2.2% from the 2021 rate of $7,773. The approximate CMS reimbursement rate for delivery of PBRT for a simple treatment without compensation will be $554 in 2022 compared to $543 in 2021, and $1,321 compared to $1,298 in 2021 for simple with compensation, intermediate and complex treatments, respectively.
 In the fourth quarter, we expect to complete a Cobalt-60 reload and software upgrades for a customer who recently extended their contract to 5 years. In the third quarter, we signed another contract extension as well. The upgrade at Gamma Knife Center Ecuador is now expected to be completed in mid-2022. It will be one of the few Gamma Knife units in all of South America. We continue to have many discussions with existing and potential clients for expanded radiation therapy system products.
 This concludes the formal part of our presentation. Carrie, we'd like to now turn the call back over to you for questions. 
Operator: [Operator Instructions] 
Raymond Stachowiak: Okay, Carrie, this is Ray Stachowiak. I'd like to thank everyone for joining us today. With our expanded marketing program and other plans in development, we're confident about AMS' future. Please contact directly -- contact us directly if you have any questions before the year-end conference call in mid-March. Please be well and stay safe. Goodbye. 
Operator: The conference has now concluded. Thank you all for attending today's presentation. You may now disconnect your lines. Have a great day.